Silvia Ruiz: Good afternoon, everybody. This is Silvia Ruiz speaking, and I would like to welcome you to Ferrovial's Conference Call to discuss the financial results for the first half of 2025. I am joined here today by our CEO, Ignacio Madridejos; and our CFO, Ernesto López Mozo. Just as a reminder, both the results report and the presentation are available on our website since yesterday evening after the U.S. market was closed. At the end of the presentation, there will be a Q&A session. [Operator Instructions] With all this, I will hand over to Ignacio. Ignacio, the floor is yours.
Ignacio Madridejos Fernandez: Thank you, Silvia, and hello, everyone. It is my pleasure to present our first half of 2025 results in which we saw robust performance across all business divisions. In Highways, we delivered strong revenue and EBITDA growth from our North American assets. In Airports, the construction of the New Terminal One and New York's JFK Airport continues to progress. In Construction, we delivered solid profitability with an adjusted EBIT margin of 3.5% for the first half of the year, in line with our long-term target. And we ended the first half with a net debt position of negative EUR 223 million for ex infrastructure project companies, a figure that does not include proceeds from the divestment of Heathrow, which was closed in early July. In terms of capital allocation, we delivered a good combination of growth in investments, proceeds from divestments and dividends from projects as well as distributions to shareholders. We closed the acquisition of an additional stake in 407 ETR for EUR 1.3 billion while divesting our entire stake in the AGS Airports for EUR 533 million and injecting an additional EUR 244 million of equity in the New Terminal One. We collected EUR 323 million from all infrastructure projects and distributed EUR 334 million to shareholders in the first half of the year. Turning to main corporate events in the second quarter. In June, we completed the acquisition of an additional 5.06% stake in 407 ETR from AtkinsRéalis for CAD 1.99 billion, increasing our stake in this Canadian highway from 43.23% to 48.29%. The investment reflects our confidence in the long-term growth prospects of the Greater Toronto Area and the long-term value of this asset. We also completed the divestment of our mining services business in Chile for EUR 42 million, one of the few services businesses pending to be sold. And earlier this month, we announced the completion of the sale of our entire remaining 5.25% stake in Heathrow Airport for GBP 466 million. Finally, good news on the pipeline as Ferrovial-led consortium has been shortlisted for bidding the I-24 Southeast Choice Lanes in Tennessee. Turning to our Highways business division. Highways revenues grew by 14.9% in the first half on a like-for-like basis while adjusted EBITDA improved 17.1%, driven by a strong performance from U.S. assets. Our U.S. highways grew revenue by 15.9% in the first half and adjusted EBITDA increased 14% both on a like-for-like basis. U.S. highways represented 88% of total highways revenues and 97% of total adjusted EBITDA. Dividends from our North American highways totaled EUR 240 million in the first half of the year compared with EUR 339 million in the same period last year when we paid a larger first dividend at the I-77. Turning to the 407 ETR. The asset has shown a great performance with EBITDA growing at double digit despite the Schedule 22 provision. Revenue grew by 19.7% in the first half of the year compared with the same period last year. Total revenue increased 19.3%, primarily driven by higher toll rates which went into effect on January 1, 2025. Fee revenue grew 25.4% in the first half driven by higher account fees resulting from higher traffic volumes as well as higher lease fees and enforcement fees. Traffic improved 5.8% in the second quarter driven by more targeted rush hour driving offers beginning in March, partially offset by adverse weather and a delay in construction activities in the alternative Highway 401. In Q2, we accrued a provision of CAD 19.3 million for expected Schedule 22 payments with a total of CAD 45.2 million in the first half of the year. Despite higher operating expenses due to the Schedule 22 provision, the 407 was able to deliver double-digit EBITDA growth of 13% in the first half of the year. Promotions are working well, and we will continue improving demand segmentation, which we believe is key to enhance value for users of the 407 and maximize EBITDA growth. In terms of dividends, CAD 200 million was paid in the first half and another CAD 250 million was approved to be distributed in the third quarter. Combined, this CAD 450 million represents an increase of 12.5% compared to the amount distributed in the same period last year. Moving now to the U.S. Managed Lanes. All assets have performed very well in the first half of the year with revenue per transaction continuing to outpace both inflation and GDP. I'd like to highlight that adverse weather events, primarily heavy rain, negatively impacted the performance of these assets in the first half of 2025 compared with the same period last year. At NTE, traffic was impacted by the capacity improvement construction works and declined 3.9% in the second quarter and 4.8% in the first half of the year. Revenue per transaction increased by a healthy 13.5% in the first half, benefiting from favorable traffic mix and more mandatory mode events. Adjusted EBITDA, which grew 6.3% in the first half was impacted by $2.7 million of revenue share. NTE distributed $108 million in dividends in the first half at 100%. LBJ grew transactions 1.3% in the first half despite increasing affection from construction activities in nearby corridors. Revenue per transaction grew 8.8% in the first half while adjusted EBITDA grew 10.8%. The LBJ distributed $52 million in dividends in the first half of 2025. NTE 35 West is the only project in Dallas that is not affected by construction works in the area and grew transactions by a solid 3.9% in the first half, while revenue increased 13.5% and revenue per transaction improved 9.2% in the same period. Adjusted EBITDA, which grew 9.7% in the first half, was impacted by $9.9 million of revenue share. Dividends in the first half were $99 million. Moving now to the I-66. Transactions increased by a healthy 6.9% in the quarter and 5.5% in the first half while revenue per transaction grew 20.1% in the second quarter and 22.5% in the first half. This robust growth was driven by growth in the corridor, particularly during peak hours despite adverse weather. I-66 distributed $64 million in dividends at 100%. The I-77 increased transactions by 2.3% in the second quarter and by 1.4% in the first half despite adverse weather and the positive impact from alternative lane closures observed in previous quarters have been mostly dissipated. Revenue per transaction grew 23.8% in the first half and adjusted EBITDA by 22%. Adjusted EBITDA was impacted by $10.3 million of revenue sharing in the first half, including revenue sharing related to extended vehicles. I-77 distributed $22 million in dividends at 100%. Turning to Airports. Our New Terminal One project at JFK Airport remains on the schedule and on budget with construction having advanced 72% as of the end of the second quarter. 2025 is a crucial year for NTO with key project milestones, system integrations and advanced negotiations with several airlines. We have secured commitments from 21 airlines consisting of 13 executed agreements and 8 letters of intent. This month, NTO issued $1.4 billion in long-term green bonds, completing the refinancing of Phase A. We have invested EUR 244 million in the first half of the year with an additional EUR 63 million pending investment to be injected next year. At Dalaman Airport in Turkey, traffic declined slightly by 0.3% in the first half, impacted by lower domestic passenger volumes with international traffic in line with 2024 levels. First half revenue grew 10.4% while adjusted EBITDA increased 10.9%, driven by higher commercial income per passenger, partially offset by higher OpEx due to inflation. Moving to Construction, where revenues reached EUR 3,453 million in the first half, 2.6% above the same period last year on a like- for-like basis. Adjusted EBITDA was EUR 191 million, up 4.2%, and adjusted EBIT totaled EUR 119 million, an increase of 11.2% like-for-like. The adjusted EBIT margin was 3.5%, in line with our long-term target. Budimex continues a strong performance with a 7.3% adjusted EBIT margin. Webber maintained a stable margin of 2.7%, and Ferrovial Construction improved to 1.6%, up 50 basis points year-over-year. We ended the first half with a record high order book of EUR 17.3 billion, 45% in North America and with EUR 2.7 billion in pre- awards or projects awaiting financial close not included in the second quarter. Our operating cash flow was negative EUR 104 million in the first half compared with negative EUR 53 million in the same period last year due to, primarily to the lack of advanced payments in the first half of the year. We maintain our average long-term adjusted EBIT margin target of 3.5%. And now Ernesto will continue with the main financial information.
Ernesto Lopez Mozo: Thanks, Ignacio. Yes, we'll -- I'll be recovering the different lines of the P&L. In the operating part, I will also talk about other businesses. In EBITDA, we have the impact of a plant energy from waste plant at Allerton in the U.K. suffered on planned downtime in the first half of 2025 due to leaks in the super heater in the boiler system. This has been repaired and the plant has returned to operation. We have provided for this stoppage and also for the eventual replacement of the superheater tubes later on. In terms of depreciation, we reflect here the higher traffic of all our operations following the growth of these assets. In terms of disposals and impairments, we have the impact mainly of the divestment of AGS, and also, it has the impact of the divestment of mining services in Chile. In terms of financial results -- regarding the financial results from infrastructure projects, in the first half, we see a slightly higher expense due to a lower net cash position at the project level. In terms of the financial results from ex infrastructure, you see that in the second quarter, you have a growth compared to the last quarter last year. And the main component here is the ticking fee in the divestment of Heathrow that is carried at fair value. The divestment of Heathrow has happened in the beginning of July, but this ticking fees reflected since it's carried at fair value in the accounts of the first half. When you look into the overall first half in terms of financial results ex-infrastructure projects, you see some lower return on the cash at hand. And this is related to, for instance, the shareholder loans that were lent to AGS and not in place. So this is a return on cash at hand in deposits. When we look into the equity-accounted affiliates, the 407 has grown its results all-- down to the bottom line. If you see a slight decline, it's because some other projects are being phased out. An example of that is the maintenance of operation of the M-30 in Madrid. But the main component is the 407 keeps growing up to the bottom line. Below that, we have the income tax expense lower than last year. Here, basically, part of the results is not subject to taxes like the capital gains on disposals. We have a net profit from continuing operations and added income below that from discontinued operations, and this is related to earn-outs from services business that were divested but we keep having some earn-outs. If we move to the next slide to see the net cash position. We see as it was introduced by Ignacio that we have a good performance from dividends from projects. Construction operating cash flow has been, well, affected as Ignacio said, by lack of advanced payments. Working capital also has a seasonality that you know well. In terms of other activities, we also have some cash consumption in terms of tax payments. It's basically related to Budimex. We have invested for growth. That is reflected in the cash flow used in investing activities. The main one here is the acquisition of 5.06% in the 407 ETR and, of course, in the investments in NTO. NTO doesn't have -- for the remainder of this year doesn't have any additional capital investment. It will have some in 2026, but not remaining this year. And then we have the interest received in our cash and divestments. Mainly AGS is the main one here. Then of course, we have a shareholder distributions between cash and share buybacks, and then we have the impact in financing activities of paying down debt, interest and effect of the FX translation of cash in hand. We have at the bottom also shown hedging positions in Canadian and U.S. dollar. We don't show them in the pound sterling. That will be reflected when you see the third quarter results with the sale of the remaining stake in Heathrow, the 5.25%. So these hedges that we have here for dividends and investment are not part of the P&L and are not part of the net cash position that we show here. So I mean, for your perusal, we show the mark-to-market that they had at the end of the quarter. Okay. And after reviewing the net cash position, I pass on to Ignacio for the closing remarks.
Ignacio Madridejos Fernandez: Thank you, Ernesto. So in summary, we delivered a strong performance in the second quarter and first half of 2025, supported by solid revenue and profitability growth from our North American assets. This growth is driven by increased customer segmentation and the continued underlying growth in the local economies where these assets are located. Looking ahead, we continue to see an attractive pipeline of U.S. highways assets with bids submittals for the I-24 in Nashville and the I-285 East Atlanta, expected in first half of 2026. The composition of our construction order book remains healthy, and we anticipate limited exposure to inflation. And we continue to deliver on our strategic horizon plan, and we'll continue to update you on the progress. And now we will turn to the Q&A session and we'll answer any questions that you may have. Thank you.
Silvia Ruiz: Thank you, Ignacio and Ernesto. Let's start with the Q&A. Operator, please, you can go ahead. .
Operator: [Operator Instructions] Our first question comes from Luis Prieto from Kepler Cheuvreux.
Luis Prieto: I had a couple of them, if I may, and apologies because I know you commented on this to some extent in the previous quarter. But I was wondering if you could shed a bit more light and explain the moving parts of the very strong growth in average revenue per transaction in both the I-77 and I-66. And my second question, along the same lines, I'm still quite surprised by the 13% average tariffs per transaction or average revenue per transaction increase on the NTE despite the 4% decline in traffic. So if you can give us a bit more light on why there are more mandatory events in a declining traffic environment, that would be very useful.
Ignacio Madridejos Fernandez: Yes. I will start with the I-77 and I-66. Also applies -- also part of it to NTE. I think that part of the growth is driven by the growth that we are seeing in the metropolis, where we have the assets, economic activity and the population growth and also that we are able to capture the value that we give to users in the sense of traffic savings and reliability, convenience or safety. In the more specific case of I-77 and I-66, as you know, in this case, we don't have a soft cap. So we can increase the toll rates according to what we think is the value that we give to customers. So most of the increase is coming from increasing total revenues and also with the dynamic price adjustment. So based on the behavior and the value that we see every minute with the customers, so we adjust the tariff according to that, and with that, we have been able to capture the value that we give to users. In the case of the NTE, the difference is that we have a soft cap. So in this case, the increase is coming also from mandatory modes. And what we have seen is heavy traffic, especially at peaks, and also what we have seen is a mix of peak hours and more heavy traffic that has been able to increase the revenue per transaction at the NTE. On top of that, as you know, every year in the Dallas Managed Lanes we have an increase with inflation and some slightly dynamic pricing. But I think that over the years, we have been able to adjust that more. So the main effect at NTE has been related to the effect of the mix of traffic, especially heavy and peak hours.
Operator: Our next question comes from Ruairi Cullinane from RBC Capital Markets.
Ruairi Cullinane: First question is earnings from Ferrovial Construction grew in H1 but declined year-over-year in Q2. Was that [Audio Gap] function of some contracts coming to end? Or was there anything else driving this? And secondly, could you provide any commentary on the tax rate, some of the factors driving the tax rate seem quite sustainable?
Ignacio Madridejos Fernandez: I will answer the first one about the Ferrovial Construction, and Ernesto will comment on the tax effect. As in the first half of the year, what we have reached in Construction is a 3.5% EBIT margin. That is what we were -- we communicated that is the long-term average target that we have for this business division. And this 3.5% is above what it was in the first half of the previous year. It is true that for Ferrovial Construction in the second quarter of the year, the margin was lower than it was previous year. And the main effect is related to some additional costs related to the utilization and some IT systems and also bidding. We are seeing an increase in bidding costs in Ferrovial Construction that has the overhead cost. And it's something that also we'll see in the following quarters, but because we have a very good pipeline but is also costly in terms of bidding costs tender for these projects. Ernesto, do you want to...
Ernesto Lopez Mozo: Well, regarding taxes, I mentioned that basically all the capital gains are not taxed. That really influenced the results this first half of the year and this quarter. One thing that is important to understand is that the underlying average probably is around 20%. We have that in more detail in the financial information that we have filed. So you have another where you can see that is more like 20%. But regarding cash, what you expected to see if we keep investing in the U.S., the U.S. and all these big infrastructure projects allows accelerated depreciation, and that provides a delay in this tax outflows. And that basically works in all our group there. So I mean just bear in mind, around 20%, as we say in the note, would be the average from an accrual point of view.
Operator: Our next question comes from Graham Hunt from Jefferies.
Graham Hunt: I've just got two, please. Firstly, on the upstream dividends, those seem to be running ahead of where at least we were expecting them to be. You said that, typically should track the dividends up to shareholders. So I just wondered if we could expect any kind of increase to your shareholder returns policy or expectations as we go forward as those assets outperform. And then second question, just on U.S. policy. I wondered if you had any comment on both the expansion of the TIFIA framework by the DOT, which I think is helpful for your projects. And also to some extent, what we've been hearing is sort of stripping back of some of the environmental headcount in the administration, if that has any impact on [indiscernible] approvals and whether it has any flow- through impact to your projects. I'd just be interested to get your perspective on those administration points.
Ignacio Madridejos Fernandez: I think the dividends coming from our infra projects are related on the performance of the asset, as you have seen as they are improving versus previous year. So that's why we are seeing more dividends, with the exception of the Jumbo, I mean dividend that we had in the I-77 after 5 years. It was the first dividend. But for the rest of the assets, dividends coming from the projects will be related mainly to the performance of these assets in the following months, and so far has been positive and increasing. In terms of shareholder distribution, as you know, what we gave is guidance a couple of years ago that we increased recently in February. And we mentioned the EUR 2.2 billion of dividends for the period of '24 and '26 , and this is what we are targeting at the end of next year. In terms of TIFIA expansion, I think it's very positive news. The level CapEx is moving from 33% to 49%. So it's improving the financeability of the large projects that we are doing. We see that as a very positive news for the next projects that we have. And in the terms of the environmental, I think that so far, we have not seen yet any impact. But we see it as a more positive thing that could happen in the following months especially streamlining some of the environmental permits that we need in our large projects, something that is happening also with digital infra, but we expect to be extended to other infra projects. And with that, we'll reduce the timing for the projects and also the cost related to that. So we see that as a positive development. But so far, we have not seen delays because of the lack of personnel at the environmental agencies.
Operator: Our next question comes from Dario Maglione from BNP Paribas.
Dario Maglione: I have two questions, one on the I-77 specifically. In Q2, the revenue growth was impressive, was 28% year-on-year. It accelerated compared to Q1, and that's despite that Q1 benefited from closure of alternative roads. So can you maybe explain what drove such a big increase and whether there is a one-off in there? Or it's a sustainable performance? And then the second question is more broadly, if you can just speak about the trends in traffic and revenue on your U.S. Managed Lanes in July.
Ignacio Madridejos Fernandez: Yes. About the I-77, as you saw the revenue per transaction grew this second quarter versus -- sorry, the number of transactions and the traffic grew in the second quarter versus the first quarter. but it was a limited number. So most of this 28% that you are mentioning of revenue growth is coming from toll revenue from an increase in the toll rates in the I-77. What we have seen is a lot of additional mobility value for the I-77, and because of that, we have seen an increase in the revenue of transaction that is transforming increase in revenues lot for the I-77. Still, when you see the toll rates for I-77 are much lower than other assets that we have in our portfolio. And we don't give a guidance about the revenue per transaction. So we're sorry about traffic or revenue for the month of July so we cannot disclose any figure about that. But you have to wait until we have the results of the third quarter to get some information about what's going on in the traffic.
Operator: Our next question comes from Elodie Rall from JPMorgan.
Elodie Yvonne Daniele Rall: The first one is on the Schedule 22. The provision was lower in Q2 than it was in Q1 despite revenues being higher. So I was just wondering how to think about that for the full year and what caused the Q2 being lower than Q1. My second question is on the pipeline on the U.S. Managed Lanes projects. I think you mentioned you have six ongoing. So I was wondering if you could give us a bit of an update there on how the competitive environment is going and how do you see prospects for you? And my last question is on the progress on -- with regards to the liquidity on the U.S. line, if you think that the NASDAQ 100 inclusion this year is likely.
Ignacio Madridejos Fernandez: I will take the first one. And Ernesto will take the last one. So talking about the Schedule 22 provision, as you know, the first quarter, we took a provision based on the best information that we had at that time, but it was only one month of March that usually comes for Schedule 22 days of peak hours for the year. Now we have more information because it has been three additional months. And because of that, we have reduced in the quarter, the provision, based on the expectations that we have it will be for the end of the year.and based on the revenues that we are expecting. So I will say that is with better information and the reduction also is coming because promotions are working well in the three months that we had in the second quarter, and we are seeing a positive effect of bringing new users at peak time to the 407 and, because of that, reducing Schedule 22 payments. We have still to confirm these numbers in the following quarters. But as long as we have more information, we'll see how it's evolving. In terms of pipeline, as you know, it's very positive that as you mentioned we have six managed lanes in the following years, two of them that we are bidding in the first half of next year. The I-285 East and also the I-24 in which officially we have been prequalified and we are also bidding next year. We have a similar number of competitors to what we used to have in the past, but I'm sure that they will be competing for those assets that, in our case, have shown that they are very successful and a good value coming from these assets. So we expect similar competition as we have in the past. It's going to be expensive as I commented, because we're going to add some bidding costs in order to tender for these projects, but I think these -- there could be a great value for the company if we can win these projects. And now Ernesto will continue with the liquidity.
Ernesto Lopez Mozo: Yes. Thanks, Ignacio. Well, Elodie, you know that for Nasdaq, you have different requirements. One of them is the average daily liquidity in the three months up to the rebalancing. That takes place in November. Yes, we are above the liquidity required right now and plan to keep building on that. But then inclusion depends on relative performance and also companies that are part of the Nasdaq 100 Index now, they may drop to even the 125th position and still remain in the index, right? So it's going to be dependent on the relative performance. I mean we are tracking that, but I cannot make any further comment. And just one last comment in terms of the accrual of the Schedule 22. Please remember that you have to add the provision for the whole half -- relative to the revenues of the whole half, right? So it's lower just in the quarter, but I mean, don't take the percentage of the Schedule 22 in the quarter to the revenues of the quarter. It's the whole half that you have to take into account.
Operator: Our next question comes from Alvaro Lenze from Alantra Equities.
Alvaro Lenze Julia: Just a follow-up on Schedule 22. In the process of recalculating the estimate for the year, what is it that has driven the decline in the total expected payments? Is it that you now see, traffic being more widespread or better distributed across segments and hours? Or is it because you see overall high revenues from mix? Or is it because you see overall higher volumes across the board reducing the Schedule 22 payments? So just to understand what is the main driver of that downward revision in Q2?
Ignacio Madridejos Fernandez: I think that -- as you know, the way the Schedule 22 works is that we have certain hours of the day, both morning and the afternoon in certain sectors that we need to reach certain thresholds of traffic. So what we are calculating in different sectors of this period of time, how close we are to this threshold. Based on that and the estimates on the days of the month that we have -- so far, we have been until June. But in the following three months, we have another three -- quarter, we have another three months in which we can make that calculation. But based on that and considering previous years, which days of the year were those that were we calculated the Schedule 22 helped us to have an idea of how close we'll be and how much we'll have to pay. So it's not an easy calculation because you have to estimate how these days will happen in the following quarters. But comparing to the performance of previous year and the number that we have of potential Schedule 22 payment last year, we can estimate how much will be for the end of the year. What we have to say is that the traffic at the peak hours of these specific times we calculate the Schedule 22 is doing better than what we were expecting with the information that we have from March. But it's because part of it, mainly because the promotions are working well and we are able to attract more users in these specific segments. And those specific times of the day, that count for a Schedule 22. So this is the way we are calculating. Of course, it's an estimate. It may change also in the third quarter of the year. But of course, when we have more and more information it's closer to what will be the final figure at the end of the year. But it's based on the information that we have from previous year.and how it's performing this year compared to the previous one. So it's not an easy calculation.
Operator: Our next question comes from Marcin Wojtal from Bank of America.
Marcin Karol Wojtal: My first question is on the ETR 407. I believe at the beginning of June, the province of Ontario removed tolls from the road which is called 407 East, which is just essentially an extension and adjacent road. Have you seen any benefit in terms of traffic on the asset that you operate? Do you expect any benefit going forward? Or that is very marginal overall? And my second question, do you have any further thoughts about potentially a switch to a U.S. -- full U.S. GAAP reporting? And would that help when it comes to your U.S. listing and potentially index membership?
Ignacio Madridejos Fernandez: I will take the first one, and Ernesto will take the second. Yes, as you commented, tolls at the 407 extension were eliminated at the beginning of June. It's still too early to see an effect of how it could contribute to more traffic to the 407. In the past, when we saw some elimination of tolls in other toll roads closer to the 407, we see a positive evolution, but it's too early to say how it will evolve this time.
Ernesto Lopez Mozo: So regarding the U.S. GAAP, well, all the U.S. investments that we are meeting now are not really keen on that. But you are right that along the way, to be able to be included in most U.S. indices, you need to report in U.S. GAAP. So for the moment, what we are doing is just analyzing the implications and the way to automate that maybe in the future. But we are not having any short-term plan to do that.
Operator: Our next question comes from Harishankar Ramamoorthy from Deutsche Bank.
Harishankar Ramamoorthy: A few from my side. On 407 ETR, it indeed looks like the promotions are having a good impact in driving traffic growth. But do you think the pendulum has swung too much in favor of driving volumes over keeping pricing high? So maybe put differently, should we see lower levels of promotions in the coming quarters? Or would you still favor volume growth over pricing? And maybe on a tangent, does this reaction to promotions also mean that demand is not as inelastic as we think it is? And does that bother you? And maybe last one on Budimex. It looks like the order inflows are quite weak this half. I get that these can be lumpy, but is there anything beyond timing issues in the inflows here?
Ignacio Madridejos Fernandez: About the promotions, first, I mean, what the strategy that we are following, so what we want to do is keeping the level of service to regular users of the 407 in terms of value that we offer to them in terms of the speed, the reliability, safety and so on. So we want to make sure that we maintain that. We want that the 407 also support the congestion relief a little but congestion in the area using with that Schedule 22 payments and, at the same time, maximizing with that revenues and EBITDA. And promotions, as you commented, are working very well. So I think it's very early days of what we are doing but has been very positive. And we can see in the results that both the revenue and EBITDA is increasing. What we are trying to achieve with the promotions, at least at the beginning, is bring users that they have never used before the 407 in these specific segments at this specific time of the day. So it's not affecting the regular users because it's not affecting the level of service. But we are reducing the congestion in the area, bringing some users that will never do at that specific time in those specific segments. And so far, it's working very well. But it's very early days about the promotions and segmentation. We are getting a lot of data, a lot of information from our users, and this may evolve in the future to reach the objectives that I mentioned at the beginning. From elasticity, what I have to say for the regular and historical users, it's very similar to what it was in the past. So it's very low elasticity and not a real change compared to what we saw in previous increases during last year. So we are comfortable where we are today. And what we see for promotions is not only that they are working but is opening new opportunities in the future for further segmentation, as I commented previously. And in the case of a question about Budimex, what we are seeing is yes, we saw that we had reduced number of hours in this first half of the year, a slightly reduction in the total order book since the beginning of the year. But I mean, in the following quarters, we are optimistic about Poland in general with the European funds, investment in infrastructure and energy, especially data centers, too. And well also in the longer future, maybe Ukraine reconstruction. But I think that we are positive about Poland and the opportunities there. And yes, it's true anyhow that the first half of the year was lower hours compared to the first half of the year last year and also reducing the order book compared to what we have at the beginning of the year, but we are optimistic about Poland in the future.
Operator: [Operator Instructions] Our next question comes from Jose Manuel Arroyas from Santander.
José Manuel Arroyas: I have three, please. First one is on NTO. I wanted to confirm that the project remains on time and on budget, on time meaning opening in June 2026. Second question is a clarification on the dividend from the energy segment. I think there were EUR 54 million dividends being paid. There were 0 a year ago. Can you explain the source of those dividends and if they may recur? And lastly, on NTE 35W, I noticed there was a bond issuance, about $400 million raised in June. And I wanted to understand if these bonds can be used for general corporate purposes, including the payment of dividends or if it's just a refinancing exercise.
Ignacio Madridejos Fernandez: I will take the first one and then Ernesto will follow with the other two. And about NTO, as we commented during our presentation, NTO is on budget and on schedule. Also as we always comment, the last year is the most difficult for a project like a New Terminal One, and it's where we have a lot of system integration, more resources, working at the same time, coordination of different groups of people. And I think that we are where we would like to be when we started this project. But anyhow, the last year is the most challenging. So still until we open and we don't close it, we'll never say that we are finally on budget and on schedule. But I think so far, we are in a good position.
Ernesto Lopez Mozo: So the question on the EUR 54 million dividend from energy, well, we closed the project finance of one of the projects and the invested equity was returned, right? So it's a return of capital. In terms of the refinancing of NTE 35 West, basically, there has been a refinancing of the TIFIA loan. What you get with this refinancing is a lengthening of maturities, TIFIA will have an accelerated repayment schedule, and you will lengthen the maturity of the financing.
Operator: Our last question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: The first one on ETR. Can you talk about the factors that are considered when determining the dividend? I think the ETR debt service coverage ratio is coming down. And many years ago, ETR used to pay around 100% of its EBITDA in dividends versus around 75% last year. So I'm trying to understand what is holding ETR back to get to that type of dividend distributions. The second question, coming back to the Schedule 22 provisions. If I understand well that the traffic at the peak of the peak seems to be around 2% below the threshold in Q2, I'm just trying to understand, can you help us how much is this threshold going up every year? I know you have a range. But is it fair that it's more a 1% increase in the threshold every year? I'm just trying to think how many years you may need until you go above that threshold. And the last one, if you allow me, on the U.S. Managed Lanes, on the dividends for I-66 and I-77. If I take a step back and I look at the I-66 and I-77 capital structure, the equity represents around 35% to 45%. Is there any reason why the capital structure here will not move midterm closer to what we're seeing in the Dallas-Fort Worth lanes where equity is 20%, that is 80%? So can you elaborate a little bit if there's anything restricting that over the midterm?
Ernesto Lopez Mozo: Okay. I mean, regarding the 407 headroom in terms of coverage, actually that has been highlighted by the rating agencies' reports. So yes, they expect that there could -- that part of that headroom could be used. So I mean, it's a natural course of business and discussions in this regard. So yes, there could be some headroom there. Regarding the I-66 as well, going forward, yes, you could have some headroom there. So both assets that you mentioned, yes, they have room for some further re-gearings to a capital structure more in line with others. And well, regarding the I-77, probably there's a little bit less margin there in terms of capital structure. So I would focus more on the opportunities in 407 and I-66.
Ignacio Madridejos Fernandez: Regarding the -- I will move now to the Schedule 22, the question that you asked. It's not clear how you calculate this 2% below the peak. The peak is not calculated as that because it depends on the different segments, and some of them are reaching the traffic above threshold or not. So it depends also on time of the day. So I think it's much more complicated than that. So it's not so easy from a point of view or to calculate that. You can't calculate that. You may have some estimates. And now with -- in the following years now with information that we are giving you, but it's not so easy or straightforward to calculate in that specific way. The way the thresholds are moving, so it often is different depending on the segments and the traffic, and they can move every year increasing between the 0 and the 3%, but depending on the position of the other segment and the increase until they reach the final configuration. So they have a certain level of traffic that is the one needed to give the level of service that we are committed to give to our users. So this is the way that it's evolving, I understand that Schedule 22 is not very easy to calculate to all of you, and it's very complicated even for us because it's a lot of estimates that we need to do, and we have more information. But I think that the provision that we are giving you and the numbers that you are getting, I think is good enough. And this is the best knowledge that we have today of what will be this final payment at the end of the year.
Operator: There are no further questions from the conference call at this time. So I will now hand the line back to Silvia Ruiz for any questions coming from the webcast. Thank you.
Silvia Ruiz: Thank you. So we have a couple of questions coming from Ami Galla from Citi. First question, can you comment on the recent pricing and traffic trends in the U.S. Managed Lanes business and disruption, if any, from the Texas floods? And the second question is related to Budimex and Webber. Can you comment if there are factors influencing phasing of the order book? And any color on what's likely delivered longer term beyond 2026?
Ignacio Madridejos Fernandez: In terms of traffic for the U.S. Managed Lanes, what we saw is, the five of them, that the underlying economic growth of the cities and the population and economic activity has been very positive. It was the case also in the 35 West and is showing without construction effects how is the rest of the Dallas-Fort Worth is performing and also what we saw I-66 and I-77. Even though we have negative effects in all of them from weather, the second quarter was very rainy all over the U.S. and especially in these places. And in Texas, we have flooding. Unfortunately, we have some people passing away. Very sad incident that happened overall Texas, and we're lucky that it was not affecting any of our assets, but we have some disruptions because of weather at some periods of time during that quarter, but also happened in Charlotte and also happened in Virginia. So we had a negative effect in terms of traffic, but positive because of economic activity. The only two that the traffic is lower of NTE and LBJ is all related to construction. One is the capacity improvement work that we are doing that probably because of so much traffic, some people are looking for different alternatives, taking different corridors. And in the case of the LBJ, this construction is because of the change of configuration in the construction works that are near by the LBJ is the case of the 35 East. And also the 35 East, that both of them are affecting traffic to the LBJ. And what we have seen in this last quarter is that they change the configuration with the more traffic impact than what we saw before. But in general, the underlying trends of all our assets in terms of economic activity is positive. And because of that, I mean, the pricing is moving the revenue per transaction and pricing is moving in the right direction, capturing the value to users. And I think that in all of the assets are performing very well in terms of revenue per transaction. Some of the assets as commented 35 West and NTE, they are capturing from mandatory modes. And in the case of the I-66 and I-77, we have complete freedom to set tariffs -- toll rates. And because of that, we are able to capture most of the value that we give to users so moving in the right direction. In terms of the order book and how we see that in Budimex and Webber. I commented previously about Budimex, which is temporary as the first half of the year. But the perspective for Poland in general in the future, I see as a positive development. So I think that we'll see hopefully an effect -- a positive effect in the following years. And in the case of Webber, we have record order book. I think it's very good. And I think in general what we see in the future beyond '25 or '26, I think positive or negative, we see a very good pipeline of managed lanes, that you [indiscernible] some of those very large projects. As you know, we do with Ferrovial construction, but also Webber is supporting some of these large projects. And also what we have to wait to see what happens next year is with the transportation reauthorization bill, how much is going to be the support of funding for infrastructure in general to the U.S., But it's too early to say what will happen next year and what effect will have. But in terms of internal pipeline of projects with concession, I think we are very positive about the U.S. and then we are able to win also for Webber, and other for Ferrovial Construction in the U.S., we see as a positive development.
Silvia Ruiz: Okay. Thank you. There are no further questions.
Ignacio Madridejos Fernandez: So thank you very much, all of you, for joining our conference call today. And for those who are taking holidays, we'll have a happy summer and happy holidays. And we'll see you next quarter. Thank you very much. Bye.